Operator: Ladies and gentlemen, thank you for standing by, and welcome to BigCommerce First Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. Please be advised that today’s conference is being recorded. I would now like to turn the conference over to your first speaker today, Daniel Lentz, Head of Investor Relations. You may begin.
Daniel Lentz: Good afternoon, and welcome to BigCommerce's first quarter 2022 earnings call. We will be discussing the results announced in our press release issued after today's market close. With me are BigCommerce's President, CEO and Chairman, Brent Bellm; and CFO, Robert Alvarez. Today's call will contain forward-looking statements, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include statements concerning financial and business trends, our expected future business and financial performance and financial condition and our guidance for the second quarter of 2022 and the full year 2022. These statements can be identified by words such as expect, anticipate, intend, plan, believe, seek, will or similar words. These statements reflect our views as of today only and should not be relied upon as representing our views at any subsequent date, and we do not undertake any duty to update these statements. Forward-looking statements, by their nature, address matters that are subject to risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of the material risks and other important factors that could affect our actual results, please refer to the risks and other disclosures contained in our filings with the Securities and Exchange Commission. During the call, we will also discuss certain non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures as well as how we define these metrics and other metrics is included in our earnings press release, which has been furnished to the SEC and is also available on our website at investors.bigcommerce.com. With that, let me turn the call over to Brent.
Brent Bellm: Thanks, Daniel, and thanks, everyone, for joining us. On today's call, Robert and I will review our first quarter results, and I'm excited to share with everyone that BigCommerce reported an excellent first quarter. Our team continues to deliver on our vision to be the leading e-commerce Open SaaS provider, empowering B2C and B2B merchants around the globe. Today, I will share an update on the status of our business, recap initiatives we announced in the quarter and give a brief review of recent product launches and partnership agreements. We will conclude today's call by updating you on our second quarter and 2022 full year guidance, along with our key priorities for 2022. First, let's take a moment to review our Q1 results. Our growth in Q1 was strong despite some post-pandemic normalization of e-commerce and consumer spending seen across our industry. Total revenue grew to $66.1 million, up 42% year-over-year, which was our ninth consecutive quarter of posting 30% or higher revenue growth. We're pleased with our progress, and we are particularly pleased with the increasing third-party validation from customers, partners and industry analysts who are rating us the world's best platform for businesses that value best-of-breed functionality and the flexibility to address complex business requirements. We concluded Q1 with ARR, or annual revenue run rate, at $280.4 million, up 43% from last year. Enterprise account ARR was $189 million, up 68% year-over-year. ARR from accounts greater than $2,000 in annual contract value, or ACV, totaled $249.5 million, up 52% year-over-year. These results reflect our continued momentum moving up market with ever larger and more complex enterprises, choosing BigCommerce to modernize their e-commerce offerings and accelerate their online growth initiatives. Our non-GAAP operating loss was $12.4 million, which was consistent with the guidance range we initially provided. These operating results benefit from the multiple investment areas that we discussed on our prior earnings call in February, including international expansion, Commerce-as-a-Service, omnichannel, headless commerce and B2B. We are excited about this year's shift back to in-person marketing and industry events, which we believe is to our advantage as a partner-centric Open SaaS platform. We participated in -- or hosted several events with our agency and technology partners during Q1 ranging from ShopTalk in the U.S.A. to One to One Monaco, to the Retail Global Conference in Australia, where BigCommerce was just named Solution Provider of the Year. The feedback has been overwhelmingly positive and consistent across the globe. Merchants crave a flexible Open SaaS platform that they can customize to meet their growing list of technical and operating requirements. Combining our B2C, B2B and omnichannel tools, merchants are empowered to boost sales across multiple channels and geographies. That's powerful. And we're proud to be a part of this evolution in e-commerce. This positioning particularly resonates with enterprise merchants, which now make up the majority of our business. I want to take a minute to review the state of our enterprise footprint in particular. At the end of 2018, enterprise accounts represented 45% of ARR. Today, they're 67%. We are a majority enterprise company that delivers the benefits of best-of-breed functionality and Open SaaS flexibility to companies of all sizes. Large global apparel brands like Ted Baker and La Perla demonstrates the unique power of our platform. Enterprise ARR has grown at a compound annual growth rate of 52% over the last four years, including the 68% year-over-year growth in our most recent quarter. Our recent launch of Multi-Storefront functionality firmly positions us at the top end of enterprise SaaS e-commerce platforms. Multi-Storefront enables merchants to use a single BigCommerce control panel to manage multiple storefronts that serve different regions, brands and/or customer segments like B2B. Although Multi-Storefront is considered enterprise functionality, we plan to bring this to the masses of small businesses as well, soon enabling them to add storefronts with a click of a button. To highlight some of the feedback our technology and market leadership is receiving, I draw your attention to the latest Forrester Wave B2C Commerce Solutions report issued last week. Forrester rated BigCommerce as a leading e-commerce provider with one of the strongest strategies and most trusted offerings in the market. In their Wave report, up into the right in the case of success, and overall, we outperformed incumbent enterprise leaders like Salesforce, Adobe Magento, SAP and Oracle. We also significantly outperformed Shopify Plus. Let me share a few quotes. BigCommerce has a strong partner ecosystem and good performance against this product vision by unifying and simplifying administration of both first-party and third-party functions. Its road map is one of the strongest in this evaluation and includes plans for deeper integration of third-party apps and additional native integrations with complementary solutions such as customer data platform. Reference customers are enthusiastic about BigCommerce as a trusted partner, and it garnered the highest marks from references in this evaluation. Both of the newly published Forrester Wave B2C and B2B Commerce Solutions Reports are very positive about BigCommerce. Switching to the B2B report, we scored the third highest ranking for current offering among global enterprise B2B platforms, and that was before our acquisition of BundleB2B announced last week. A short seven years ago, when I assumed the leadership of BigCommerce from our terrific founders, we were exclusively a small business platform. We embarked on a strategy to bring the benefits of SaaS, including scalable performance, ease-of-use, value and continuous innovation to the world's complex businesses. This required opening our platform via APIs and micro services, and it required building enterprise functionality on top of those APIs. We branded this Open SaaS as our alternative to open source. At the time, Magento's open source was the undisputed global leader in the mid-market and large enterprise segments. To date, in 2022, SaaS is the present and future of e-commerce. We're delighted that leading tech analysts like Forrester and IDC advocate for this and rate BigCommerce ahead of many of our legacy enterprise competitors. On our last earnings call, we outlined investment across five strategic priorities and one new growth pillar in which we intend to lead the future of e-commerce. Our decision to invest does consider the uncertainty in our macroeconomic and geopolitical environment, but we are focused on the long term, and we are emboldened by the success we're seeing every day across these initiatives. We believe we can shape the present and future of global e-commerce, and we are investing to do so. In Q1, our international expansion efforts made strong progress as we now operate in the six largest Western European economies. In the coming quarter, we will increase our European presence by expanding into the Nordic countries. Building from our recent launch in Mexico, we will also launch our first operations in South America. We're supporting new languages, adding new geographies and integrating new payment methods for local markets. We're in the early innings of global expansion, and our growth rates in EMEA, APAC and non-U.S. Americas give us confidence that expansion will pay off in the near and long term. In omnichannel, we plan to launch a self-service tool that brings premium features embedded in Feedonomics to the mass market. Feedonomics, which we acquired last year, enables merchants to syndicate and optimize their product offering to the world's leading advertising, search engine, social network and marketplace channels. It powers omnichannel for many of the world's leading online retailers. And in time, we will bring those capabilities to self-serve merchants of all sizes. We believe Feedonomics is the world's best feed management tool for expanding reach, acquiring new customers, optimizing return on ad spend and selling through marketplaces. Last quarter, we formally introduced a new pillar to our growth strategy, Commerce-as-a-Service. Commerce-as-a-Service enables partners to create and sell customized commerce solutions powered by our platform technology. This announcement has been well received in our partner community. In Q1, we enabled five new reseller partnerships, including Clover, a leading North American point-of-sale and business management solution owned by Fiserv. Overseas, we launched Fridom, Local.fr, Valuecom/Pay, and Avasam. These partnerships expand our reach to new merchants through the sales and marketing efforts of established category-specific technology solution providers. This gives BigCommerce the opportunity to onboard new merchants with marginal cost to us, thereby building additional distribution and a flywheel to scale our revenue model profitably. While we are still in the early phase of Commerce-as-a-Service as a strategic pillar for our company, we are pleased that it has already generated three of the largest recurring revenue deals in BigCommerce's history. In June 2021, we expanded our B2B functionality with the introduction of B2B Edition. We recently added our 200th B2B Edition customer. And last week, we announced the acquisition of BundleB2B, the partner behind that successful B2B Edition offering. At a time when B2B e-commerce continues to boom, this acquisition cements our commitment to being the best and most powerful SaaS e-commerce platform for B2B merchants. Near-term priorities include embedding BundleB2B functionality into our native user experience, improving its compatibility with our ERP partners and opening its functionality to our agency and technology partners. While the overall deal doesn't have a material impact on our 2022 financials, it does come with a small amount of incremental investment in B2B, which Robert will discuss further as we provide our updated full year guidance. Let's now shift gears to partnerships. In Q1, we announced an expanded relationship and merchant of record integration with Digital River. This enables BigCommerce merchants to unlock global sales and sell into international markets seamlessly through their solution for international payments, tax, shipping and compliance. In March, we announced an expanded strategic partnership with Bolt, a leading network checkout company. Our upgraded integration enables small, medium and enterprise merchants to set a Bolt One-Click Checkout in a self-serve manner within minutes. Bolt can be prebuilt into merchants' BigCommerce stores, allowing them to deliver secure one-click transactions for customers without the need for accounts, passwords and logins. This month, we will launch a new store for Tottenham Hotspur, one of the world's premier football brands. The Spurs are leveraging the BigCommerce platform to improve fan experience not only in the U.K., but also in North America and Asia. Tottenham is taking advantage of our recently launched Multi-Storefront capability to support multiple stores around the world in multiple languages and currencies. They chose BigCommerce over other options because of our SaaS approach and ecosystem of integration partners. Representative enterprise merchants recently launched on our platform include Boxhub, a U.S.-based merchant that makes it easy to buy, sell and trade shipping containers, and Ollie Pets, which provides customized meal plans for pets using our headless functionality. Van Café launched its new site for Volkswagen auto parts, leveraging the BigCommerce Acumatica ERP connector to the Company's customer data, inventory, products and third-party apps. EuroSport Tuning, a supplier of European auto parts, recently launched a new B2C site on our platform and are taking advantage of Multi-Storefront for their upcoming B2B site. In addition to those, let me name just a few more important brands that launched on BigCommerce during the quarter: Edible Blooms; PoolZoom; ALEKO Products; the Perstorp Group; HKliving; International Tool Supplier, ITS; the School of Life; and Louisiana Crawfish. In reflecting on the quarter, I'm energized by our results and traction across strategic initiatives, including enterprise, international, B2B, omnichannel, headless and Commerce-as-a-Service. We are investing in global leadership in each of these areas. In time, we believe these investments will generate continued above-market growth, exceptional customer partner success and attractive long-term profitability. For more details on our progress and plans, I'm pleased to share that on Wednesday, May 25, we will be hosting our first Analyst and Investor Day as a public company. This event will be held virtually, and we will be posting details on how to access that event on our Investor Relations site in the coming weeks. With that, I'll turn it over to Robert.
Robert Alvarez: Thanks, Brent, and thank you, everyone, for joining us today. I'll review our first quarter financial results and provide an update to our second quarter and full year 2022 guidance. Please note that all results are on a consolidated basis, which includes activity from Feedonomics. I'd like to start by saying our presence in the enterprise market is stronger today than ever before. We reported another solid quarter, and continued progress moving further up market into the large enterprise segment, which is really best shown through some of our recent launches. Ted Baker is a shiny example of why we are winning more and more enterprise deals and highlights our enterprise capabilities, including native multi-store, multi-geo, multi-language, multi-currency, all with a customized headless front end user experience. Enterprise merchants are now making e-commerce platform decisions based on a multi-year horizon and see BigCommerce is a platform that can scale as fast as they want to grow. We're making similar inroads in our international segments. Our results this quarter demonstrate the resilience of our diverse, growing and established set of B2C and B2B merchants across a wide range of industries in the U.S. and the growing list of countries we can now serve. In Q1, total revenue was $66.1 million, up 42% year-over-year. Subscription revenue grew 50% year-over-year driven by continued net growth in merchants and our continued mix shift into enterprise plans. Partner and services revenue, or PSR, was up 23% year-over-year, while our PSR growth rate slowed compared to last quarter. This was consistent with the expectations we discussed on our last call relative to overall e-commerce transaction volumes in the base period effect of U.S. federal government stimulus payments in March 2021. We have now posted nine consecutive quarters of 30% plus total revenue growth and 14 consecutive quarters of 40% plus enterprise ARR growth. We remain focused on delivering our plans for the year, but we are encouraged by the progress reflected in our Q1 results across many fronts. Revenue in the Americas were up 43% in the quarter, while EMEA revenue grew 43% in Q1, and APAC revenue was up 27% in Q1. We are making progress across Europe, Asia and Latin America, but we are still in the early innings in terms of how large our share can be in those markets. Many brands and merchants in these markets produce growth rates ahead of similar companies in North America, and we see the enormous set of opportunities ahead of us and are taking action to invest in these markets. We believe the opportunity to expand our footprint and share of wallet internationally is tremendous. I'll now review our non-GAAP KPIs. Overall, we posted results consistent with the trend of the past couple of quarters. Our annual revenue run rate, or ARR, grew $280.4 million, up 43% year-over-year driven by continued strength in our enterprise customer base. We see stronger unit economics, better net revenue retention and higher transaction volumes from enterprise merchants. Fundamentally, BigCommerce is an enterprise e-commerce company, and our investments aim to bolster our market position within this attractive customer segment that has been historically served by outdated, expensive and very cumbersome legacy systems. ARR from accounts with $2,000 or more in ACV grew 52% year-over-year in Q1 to $249.5 million. Enterprise accounts posted outstanding ARR growth of 68% year-over-year to $189 million. Overall, enterprise contribution to ARR improved, growing to 67% of our ARR as of March 31 compared to 57% in 2021. Since going public in 2020, we've averaged a growth rate in enterprise ARR of 55%. Our focus on expanding our enterprise footprint is gaining traction in North America and across global markets. Our inroads into new markets are noteworthy, particularly among sophisticated merchants. Our solution allows merchants to utilize the most modern and innovative-based solutions while customizing services for their local market needs. Our B2C and B2B solutions, together with our headless and omnichannel strategy, makes our cost-effective offering an easy choice for merchants looking to replatform and supercharge their e-commerce capabilities and performance. In Q1, we posted our highest absolute level of gross new merchant sales in our history. We're confident our operating results are trending in the right direction and in line with our internal plans. Although we saw slightly less sequential ARR growth this quarter, we believe this is largely a cyclical issue. As we discussed in our last call, we expect slower growth rates in ARR this year compared to the past couple of years due to some normalization in consumer behavior and the lapping effect of elevated base periods during the pandemic. This is primarily a result of more moderate GMV growth, driving fewer upgrades and plans, and hence, fewer upgrades and planned pricing. Our revenue guidance ranges incorporate these dynamics, and we believe we can sustain strong top line revenue results behind all the investments we've mentioned. At the end of Q1, we reported 12,972 customers with ACV greater than $2,000, up 2,463 accounts or 23% year-over-year. At the end of Q1, 89% of our ARR is now made up of accounts with ACV greater than $2,000. That's a 600 basis point increase from the same period in 2021. ARPA or average revenue per account, for accounts with ACV greater than $2,000 was 19,234, up 23% year-over-year driven by our continued mix shift to larger enterprise merchants with strong unit economics. I'll now shift to the expense portion of the income statement. As a reminder, unless otherwise stated, all references to our expenses, operating results and per share amounts are on a non-GAAP basis. Q1 gross margin was 75%, down 25 basis points from the previous quarter. Meanwhile, we reported a gross profit of $49.8 million, up 32% over the prior year. Continued investments in our hosting infrastructure, customer support and international operations are contributing to the reduction in gross margins. However, our outlook for gross margins remain in line. We're confident we can maintain rates in the mid to high 70s. In Q1, sales and marketing expenses totaled $29.5 million, up 54% year-over-year. This accounted for 45% of revenue, up 365 basis points compared to last year. This increase was tied to increasing headcount in our sales and marketing teams, expenses tied to client engagement initiatives and an uptick in travel costs that were marginal during the pandemic. Research and development expenses were $18.4 million or 28% of revenue, up 154 basis points from a year ago. Costs ticked up due to additional headcount added to our product engineering teams driven by the planned investment areas we've outlined previously. Finally, general and administrative expenses were $14.3 million or 22% of revenue, up from 20% of revenue a year ago. The main drivers of the increase included costs tied to enhanced cybersecurity, investments at Feedonomics and international expansion costs. In Q1, we reported a non-GAAP operating loss of negative $12.4 million, a negative 18.7% operating margin. This compares with negative $3.1 million or a negative 6.7% operating margin in Q1 2021. Adjusted EBITDA was negative $11.7 million, a negative 17.8% adjusted EBITDA margin compared to a negative 5.2% in Q1 2021. Non-GAAP net loss for Q1 was negative $13.2 million or negative $0.18 per share compared to negative $3.1 million or negative $0.04 per share last year. As we discussed at length on our last earnings call, we are making deliberate investments in our business that we believe will drive durable growth over a multi-year horizon with strong profitability at scale. We are still in the early innings based on the opportunity we see ahead of us. We have invested tremendous time and resources over the last few years towards our transformation into a leading enterprise e-commerce company, and our results clearly reflect the success of that effort, both our financial results and the third-party accolades that our technology platform is receiving from our agency and tech partners as well as the leading industry research analysts where BigCommerce is now recognized as a true enterprise platform leader across B2C and B2B. We are confident this is the right long-term decision for our business and our shareholders. We are committed to long-term profitable growth while preserving healthy liquidity on our balance sheet. We ended Q1 with $377.3 million in cash, cash equivalents, restricted cash and marketable securities. At the end of Q1, operating cash flow was negative $22 million, declining from negative $12.8 million a year ago. We reported free cash flow of negative $23.3 million or a negative 35% free cash flow margin. This compares to negative $13.2 million and a negative 28% free cash flow margin in Q1 2021. In conclusion, let's shift to our guidance and outlook for next quarter and fiscal 2022. For the second quarter, we expect total revenue in the range of $64.6 million to $67.5 million, implying a year-over-year growth rate of 32% to 38%. For Q2, our non-GAAP operating loss is expected to be $16 million to $18 million. For the full year 2022, we currently expect total revenue between $277.8 million to $286.6 million, translating to a year-over-year growth rate of approximately 26% to 30%. Our non-GAAP operating loss is expected to be between $47.9 million and $53.9 million. Our expectations are for margins to gradually improve throughout the year. We're reiterating our non-GAAP operating loss percentage to be in the high teens at the midpoint. Please note that these updated guidance numbers also include the inclusion of the acquisition of BundleB2B, which we expect to add an incremental operating loss of $700,000 to $1.3 million across the balance of the year behind additional B2B investments embedded in that transaction. Finally, I'd once again like to thank all of our incredible employees, merchants and partners. We are so proud of our continued progress and excited about the growth opportunity ahead of all of us. With that, Brent and I are happy to take any of your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Clarke Jeffries with Piper Sandler. Your line is open.
Clarke Jeffries: R.A., you mentioned -- considered an outlook and normalization of consumer behavior, a normalization of GMV growth. I'd just be curious, how much of a change have you seen in those trends year-to-date, maybe even thinking about when we last spoke two months ago? Has there been a change in the trend in the last few months that might be changing the outlook here? Or are they relatively consistent, really just those kind of stimulus-based periods that you're considering?
Robert Alvarez: Yes, I'd say very consistent, really no surprises on that front. When we thought about Q1 and Q2, the first half of the year, we factored that into our forecast and guidance. We are very pleased with the new bookings in terms of new -- gross new bookings for the quarter. But in terms of like upgrades and the pricing impact of upgrades, we factored in kind of GMV levels that we were expecting as we ended last year, so no surprises on that front.
Clarke Jeffries: All right. And then just a clarification, a slight change to the expense guidance here. It looks like Q2 could be the sort of lower point of profitability for the year. Just really, could you break down maybe one of the biggest cost drivers right now? Should we expect this to be primarily sales and marketing that's maybe pushing profitability down a little bit lower here in Q2 and the other line items are pretty consistent in their growth through the year?
Robert Alvarez: Yes. This would be consistent with how we kind of viewed Q2 going into the year, the investments that we were planning to make, a lot of it is headcount, very much tied to sales and marketing across those investment areas. Some of it is product engineering as we invest in building out capabilities around Feedonomics and omnichannel and B2B. But we always expected Q2 would be kind of the -- kind of biggest expense period for the year. But we feel confident recommitting and reiterating kind of the full year guide to our operating losses for the year.
Operator: Thank you. Our next question comes from the line of Terry Tillman with Truist. Your line is open.
Terry Tillman: I guess, first, congrats on the enterprise ARR. And also, I guess, congrats on crossing the bridge enterprise capabilities-wise. I wanted to get both of those in.
Brent Bellm: Thank you, Terry. Appreciate it.
Terry Tillman: Sure. My pleasure. First question is, Brent, for you, on the multi-store. I mean I know its early days, but that was a lot of heavy-lifting in terms of the innovation cycle there. So you've delivered that now. So congrats on that. How quickly do you think that could impact enterprise ARR? And what are you hearing so far? What are the early signals you're seeing from the delivery of multi-store into the market? And then I had a follow-up for R.A.
Brent Bellm: Well, it's been extremely well received so far in the market. Our agency partners, and really, the market that wants enterprise capabilities from SaaS has been eagerly anticipating this. It's set in beta for quite a few months and was already a mature product by the time we offered it up in general availability. Near term, we'll see the best impact on new sales, and in particular, new enterprise sales looking for and requiring Multi-Storefront functionality. We still have an additional product release to turn this into a self-serve product that our SMB plan and existing merchants can also just click a button and add stores. So that engineering is underway. And once we have that, we'll see a compounding effect of existing stores, clicking a button to upgrade. For now, existing stores have to be on enterprise and have to call us up and request a contract modification. But soon, we'll turn this into self-serve functionality, which will be very, very powerful.
Terry Tillman: Got it. Got it. And I guess, R.A., just to follow up. Last quarter, you all talked about Commerce-as-a-Service, the opportunity there. Kind of the follow-up -- two-part follow-up, I should say, is when will you release the billings capability? And how quickly could the NRR benefit from the efforts on the Commerce-as-a-Service side?
Robert Alvarez: Yes. We're making great progress on that front. I think that kind of the early releases, we'll definitely see kind of in the mid-part of this year. In terms of NRR, we'll definitely see the impact next year. We do predict a little bit of a lift based on the timing of when we release that. I think the biggest impact is going to be next year, though. But I think I'll give you an update as that progresses. Hopefully, I'll have a good update for you by the end of Q2.
Operator: Thank you. Our next question comes from the line of Scott Berg with Needham. Your line is open.
Scott Berg: Congrats on the good quarter. I guess let's unpack the sales a little bit in the quarter. And you both talked about kind of a normalization of the environment out there, and I think we certainly all see that on the GMV or PSR side of the impact of your business there. But how should we think about just general bookings? And thinking about that through your lens of ARR and what your definition of it is, are you seeing the pace of bookings for these replacement projects to be any different today than maybe over the last couple of quarters? Or should we view the slowing ARR growth purely just volume-driven versus kind of the infrastructure replacement side of the business?
Robert Alvarez: Yes, Scott. I mean like we mentioned, Q1 was our highest gross bookings quarter, majority enterprise. So again, we saw team performed really well, closing large enterprise accounts across both B2C and B2B. If you look at the components of net new, gross new was great in Q1. Retention for enterprise and accounts greater than $2,000 remains strong. So we were pleased with that. It really comes down to the upgrades and the impact of upgrades that we factored into the forecast into the guide. But in terms of our sales momentum, our go-to-market efforts in the U.S., our sales teams that we're building in the countries that we're entering into, really couldn't be more pleased with their performance and just the interest and awareness that they're building in those markets. In the new countries that we enter into, we're going in with an enterprise focus. And so, we're lining up the best agency partners in the enterprise. We're building awareness in the enterprise. And the folks that we're bringing on to BigCommerce are really kind of enterprise salespeople that are coming out of the gates really strong, so very pleased on that front.
Scott Berg: Got it. Helpful. And then for my follow-up question, you all have made two small acquisitions focused on the B2B side of your business today. Now we all know that's a small part of the business, probably single digits, maybe 10% of revenues, plus or minus. But how should we think about the growth of that product kind of going forward in your opportunities there with these capabilities today, knowing that end market is growing faster than the traditional kind of B2C environment that's out there?
Brent Bellm: Yes, we'll talk more about this in our Analyst Day, but the future couldn't be brighter for us as a SaaS B2B platform. The estimates are that B2B generates about 1/3 but growing over time to north of 40% of total platform spend relative to B2C, and the growth rates are double that of B2C. We are already positioned as one of the world leaders in B2B even before these acquisitions. For example, the Forrester B2B report for enterprise commerce that also went out last week listed us as a strong performer. Only three or so platforms in the world that they rate have better capabilities, and those platforms are far more expensive, far more complex and hard to implement. What's so powerful now is that, in essence, we would compete for B2B historically, a portion of the functionality was native to BigCommerce and then a portion would be gained by clients via apps and extensions. And the two natively meaning -- well, built purposefully for BigCommerce and only BigCommerce that were the best in our ecosystem, B2B Ninja for quoting and BundleB2B for a whole host of other functionality. We now own those, and we'll be able to further integrate them into the user experience, take advantage of sort of inside-the-house functionality rather than external APIs, we'll improve some of the architecting. And we'll also open them up to our agency and tech partner ecosystem just like BigCommerce has been opened up to all of those. In sum, even before these two acquisitions, Forrester, Paradigm and others already rated us one of the top three to five B2B platforms in the world, now with this native functionality, I really think we are poised to become the most successful SaaS B2B platform at scale in the years ahead. We won't necessarily handle the most extreme and complex use cases. There are other platforms for that. But as a broad-based solution that can serve small, medium and the low end of large enterprise B2B, we are in a fabulous position now that we own both BundleB2B and B2B Ninja.
Operator: Thank you. Next question comes from the line of DJ Hynes with Canaccord. Your line is open.
DJ Hynes: I want to follow up actually on both of the topics that Terry hit on. We'll start with multi-store. So I guess based on the conversations you're having in the field, do you think Multi-Store is really kind of a breaking-of-the-dam event at the high end? Or do you get the sense that there may be some holdback still among enterprise buyers until you have that multi-location inventory piece of it as well?
Brent Bellm: Well, the great news is multi-location inventory was released in closed beta last week. So that product is now live and available to a limited subset of customers. And more news to come on that, but that's not a limiting factor in certain use cases, and we'll unblock that soon. In terms of Multi-Storefront, we have long known that, that of all of the enterprise functionality component was the biggest differentiator between the high end of large enterprise platforms and everybody else. I felt that from the day I came in. It's so complex to re-architect everything in a multi-tenant SaaS platform with so many customers without disrupting them and not doing what Magento did, which has come out with a completely new version and tell the old customers you've got to migrate or replatform. We did it while the trains were all moving on the tracks. And we're so proud that we pulled that off. I think it is the defining breakpoint in -- and frankly, it's also what Magento and Salesforce have been saying against us in recent years. Well, what about Multi-Storefront? Well, we have it now. We've got a great version of it. And I think we're extremely well positioned, offer all of this within such a great performance and value package that, frankly, Adobe and Salesforce I don't think you compete with.
DJ Hynes: Yes, great. That's super helpful color. And then, the follow-up, maybe more geared towards, you, R.A., is just, is there any way to frame kind of how the unit economics compare on revenue that comes through Commerce-as-a-Service versus your direct business, right? And I get Commerce-as-a-Service is lower CAC, and those partners kind of do the selling for you. But is there more investment that needs to happen upfront to get those partners enabled? Just help me understand kind of how that all works.
Robert Alvarez: Yes. I mean you nailed it. I mean the cost to acquire is going to be lower. There's going to be some upfront costs in those. Think of those as oftentimes larger deals with kind of a minimum commit that our partners will make with us, a multi-year commitment. But yes, the CAC will be lower, and we believe that the lifetime value will be longer and bigger across most of those use cases.
DJ Hynes: Yes. Okay. It was great to hear about the three deals that I think you called out in the prepared remarks. So good stuff there.
Operator: Thank you. This question comes from the line of Josh Beck with KeyBanc. Your line is open.
Josh Beck: I wanted to go back to, I think, Clarke's question really about the market. I think we've heard from some of your fintech peers, let's say, that the e-commerce market softened a little bit, and they felt like some of the third-party forecasts were a little bit stale. They have called out and these are obviously more same-store sales types of growth metrics, but headwinds in the U.K. and some of the China supply chain shortages that we're seeing. So just to be clear, did your market forecast not really change much or maybe you had already contemplated some of those? You just had a little bit more upbeat on the market overall. So just curious, if there's anything worth unpacking there.
Robert Alvarez: J.B., yes, we contemplated it for Q1. We're obviously paying close attention to it, monitoring it for the rest of the year. So in terms of like the back half forecast, we're trying to factor that in as well. So yes, just pleased that we were pretty much spot on with our assumptions for Q1. And then for the remaining part of the year, especially the back half of the year, we're using our best guess and kind of discounting it a bit just to make sure we don't get ahead of our skis on that front. But yes, we're definitely seeing some of those trends. But even with that, we were pleased with our PSR numbers for Q1 and feel pretty confident that we can deliver the rest of the year.
Josh Beck: Okay. Good to hear. And then on the Feedonomics front, obviously, that's been a very successful acquisition and integration. Has that business continued to outperform your expectations? And while I don't really expect anything quantitative, just qualitatively, how are you thinking about that business for the balance of the year?
Robert Alvarez: Man, I'd say it's outperforming on many fronts, not just the product front, but the go-to-market front, the people front, the culture front. Like it is -- we're very, very excited about Feedonomics, super grateful in terms of how much they've leaned in with us, some of the opportunities that we're uncovering now we didn't even know about when we bought them in terms of how to really offer really robust omnichannel capabilities to our partners, to the ecosystem. Yes. So, we're blown away by what we can do with Feedonomics, and that's an area where look the futures omnichannel. So, we want to be the very best in omnichannel selling for our merchants. We believe Feedonomics is the technology and team that will deliver that. And yes, we're super excited about some of the opportunities that we're working on with them.
Operator: Thank you. Next question comes from the line of Koji Ikeda with Bank of America. Your line is open.
Koji Ikeda: Maybe first one for R.A. Just wanted to dig into the full year guide a little bit. So the range, previously, it was about a $12 million spread when you guided -- first guided on the fourth quarter call. Now about a $9 million spread and up a bit from a midpoint perspective versus the prior guide. So I guess how should we be thinking about that guidance methodology, the narrowing of the range there? And any sort of contributions from Feedonomics and BundleB2B?
Robert Alvarez: Yes. So, we obviously had a nice beat in Q1. We did raise a bit the guide for the year. B2B is one where -- we made that acquisition really to really go deep in the product road map and really own it from a native perspective. Revenue contributions there will, I think, are reflected in what we would expect to close in gross new bookings for B2B. As we kind of build that into our platform and product and really expand some of our go-to-market, there's some potential upside for B2B. In omnichannel, we factor that into our forecast. So some of the investments that we're making there, we're kind of timing those investments and planned release dates of those investments to where you likely won't see an uptick in revenue until the back half of the year. So, I would look at our kind of revenue guide is kind of a nice beat for Q1, took it up a bit and holding kind of our op loss consistent, but also adding about roughly $1 million in the midpoint to invest in BundleB2B because we feel like once we can make those investments, we're going to be able to really go to market the way we want with our B2B offering.
Koji Ikeda: Got it. Got it. And then just one follow-up for me. Still, I'm pretty new to this name. So when I was ramping up, I understood there was some maybe some pricing benefits to the model during the pandemic, but just kind of thinking about moderating GMV volumes post-pandemic. Is there any sort of pricing to your downgrades that could happen? Or maybe walk us through does that happen. How does that work? Or is there anything to call out there?
Robert Alvarez: Yes. On the enterprise plans, it is on a trailing 12-month view. So you could get potentially a lower amount. But in terms -- we don't see that very often. It's just the amount of upgrades that we were seeing during the pandemic. It's a bit more normalized now versus the last couple of years. So in retail plans, it's all GMV-based, but enterprise plans are really order-based on a trailing 12-month basis. So not too much on the downgrade side, but definitely less order-based upgrades than we saw in the height of the pandemic.
Operator: Thank you. Our next question comes from the line of Ygal Arounian with Wedbush. Your line is open.
Yga lArounian: Just first follow up on that last comment, R.A. So less order-based upgrades just based on GMV and normalization. Can you talk a little bit more about what you're seeing from your customers in terms of how they view investments and building their e-commerce platforms in light of e-commerce ecosystem that's slowed down or normalized to a certain extent? And maybe talk a little bit about the pipeline, so outside of the GMV swings.
Robert Alvarez: Sure. Yes. I mean keep in mind, who we compete with and who we see in RFPs, there's a lot of value with e-commerce. Our TCO is lower. We're more flexible. They can launch with us faster. But -- so in a situation that a lot of merchants are in now when they're thinking about a multi-year bet around e-commerce, a lot of these enterprise merchants have seen their e-commerce business really grow really nicely over the last two to three years. They want to move faster. They want to grow exponentially further and across a lot of different geographies. And so when they look at BigCommerce, they really see a much more cost-effective solution than some of those legacy systems that they're on or some of the big enterprise companies that maybe we're competing against. So I think our pricing is very competitive. We offer really -- a really strong kind of TCO offer for merchants. But again, I think the reason why merchants are now choosing BigCommerce, it's not just because we're cheaper, but it's because they can move a lot faster. They can launch a lot faster. They really love the flexibility of the platform, being able to customize it. So our value prop today, especially with native Multi-Store being rolled out, I think, is stronger than ever. And I think our pricing is very competitive in the segment of the market that we're competing in and focused on.
Yga lArounian: Okay. Great. And also a follow-up on Commerce-as-a-Service. Brent mentioned -- I forgot the exact comment, but it was the three of the largest recurring revenue deals from that. Can you talk about why that is and if that's something we should be expecting in general that it's going to drive higher recurring revenue deals or bigger deals in general, just to understand some of the components of that?
Brent Bellm: Yes. I'll take that. It's really going to be the full range of deal types. As an example, the Commerce-as-a-Service major announcements that we've had to date, including WineDirect, [Newarc Status] and Clover, all come with pretty significant initial minimums that immediately start contributing to ARR and revenue. Whereas some of the other ones that we just announced are very much deals where we only get revenue as new merchants are added. And so, they'll start from a base of zero and hopefully grow to strong levels every time those partnerships are successful. So it will be a whole range. And really, each particular deal and relationship is tailored to the specific needs of the partner. More often than not, if they partner with a large established base of business that they're trying to migrate over, you would expect a significant deal with an upfront commitment. Whereas if a smaller partner and trying to build a new program from the bottom up, there may be very little or no initial commitment, and everything goes up linearly with merchants that are added.
Operator: Thank you. Our next question comes from the line of Parker Lane with Stifel. Your line is open.
Max Osnowitz: Max Osnowitz on for Parker Lane. R.A., I know we talked last quarter about the international opportunity and kind of the long-term target being 50-50. He has announced a few exciting expansions going forward this year. I was just wondering what kind of environment you're seeing over there with everything going on and if it's changed your plans at all or if you're just moving forward for the long-term opportunity rather than what's happening potentially in the short term.
Robert Alvarez: Yes. The pipeline that we're seeing remains strong across those markets. I think the feedback that we're getting from our sales teams as well as our partners in the markets that we're in, I'd say, the enterprise kind of demand for e-commerce is fairly robust. Long term, that 50-50 is kind of where we would expect our gross new bookings split to be. In terms of revenue, we're still 81%, 82% revenue in Americas. But in terms of that 50-50 gross new, that's still something that we see kind of in our sites. And so as we expand our go-to-market teams in Latin America, our European teams continue to do extremely well in terms of their ability to close. Quota attainment remains strong. And so, we're as confident as ever that we can continue to drive really great enterprise growth in EMEA, in LATAM, and then ultimately, in APAC down the road.
Max Osnowitz: Got it. And then switching gears, thinking about social commerce is still kind of an emerging category for a lot of businesses. And I know you guys announced a plan for TikTok advertising a little while ago. Is there anything else going on with BigCommerce in their role in social commerce right now? Or is more focus being on Commerce-as-a-Service?
Brent Bellm: Sure. A couple -- social commerce is super important to us and was one of the contributing factors to our acquisition of Feedonomics last year. I would say the comment about growing importance of social is in the true of the United States. But if you look at Asia, it's enormously big in certain countries already and has always been a giant component of advertising. So advertising on Facebook and Instagram and TikTok is really highly valued right now in some of the other networks. The point about Feedonomics is that it's the leading feed management tool used by the largest retailers online in the United States. And for social commerce specifically, it enables the business to get their product catalog from out of their source of truth, their e-com platform, ERP or TIM. And not just syndicated into efficiently the various social networks they want to use, but optimized for each one with exactly the right formatting, character count, pixel dimensions for images, category, schemas that each one likes to use. And that's just as relevant for advertising on the social network as it is for actual selling. So whether it's Snap or whether it's TikTok or Facebook and Instagram or any other major social networks around the world, with Feedonomics, we've got the best feed management capabilities available. And we're also very actively across both e-commerce and Feedonomics, enhancing the partnerships, some of which we've announced in the past, with those organizations to help them both get ever better inventory out of the BigCommerce merchant base but as well merchants who are using other platforms but taking advantage of Feedonomics. So we're extremely bullish about the potential of social networks for e-commerce. And whether that's selling directly on those platforms or simply advertising effectively, that will all sort of evolve over time. But advertising at a minimum should be an anchor for so many of the online business to consumer brands and retailers.
Operator: Thank you. Our next question comes from the line of Samad Samana with Jefferies. Your line is open.
Samad Samana: Hope all is well down in Austin, maybe just a first question on the Commerce-as-a-Service side. I just want to make sure I understand. So when someone is using BigCommerce in that situation, is it the end merchant that's making the platform selection? Or is it a partner that's going to be making the selection? And I guess does it change how the actual customer acquisition motion goes beyond that they're actually acquiring them? But did it change who's -- who the decision maker for what e-com platform is being used is?
Brent Bellm: It always starts with the partner. So the partner is contracting with BigCommerce to use Commerce-as-a-Service and, in essence, market and sell a bundled offering between whatever is their core solution and our commerce platform when we power the commerce platform.
Samad Samana: Great. It's very helpful. Sorry.
Brent Bellm: But let me just complete that. In some cases, the partner is saying, I only work with BigCommerce. You have no choice. And if they're migrating merchants over to BigCommerce, then they might do a big upfront arrangement with us. In other cases, they are launching a new program, and it's really up to each individual merchant to decide whether they're going to use it or not. But typically, the partner will only have one such Commerce-as-a-Service relationship like this because our competitors, for the most part, don't do this. And it will grow over time if the merchant doesn't have a pre-installed base based on individual businesses deciding, hey, I like that combined offering. I want to adopt it.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Raimo Lenschow with Barclays. Your line is open.
Raimo Lenschow: Just the one question for me would be like. Can you talk a little bit about what you're seeing on the international side? You obviously have a decent R&D exposure in Ukraine and obviously with the decent amount of European revenue? So what are you seeing there from a macro perspective? Thank you and congrats from me as well.
Brent Bellm: Raimo, I'm going to start on the Ukraine part of that. So I'm -- after commenting last quarter, I'm delighted to share that all 107 of our employees in Ukraine are accounted for, including the subset serving in the military. They're all safe. And our estimate on blended productivity relative to what it would be across the entire employee base absent the war is about 85%. So for the most part, folks are working, and many of them at 100% from wherever their locations are. Ukraine has fortunately retained key, and some of them are returning to key from other parts of the country where they have relocated. So things are really good there. And the rest of Continental Europe and in the U.K., it's full speed ahead, business as usual, and we're finding interest in us really great. One of the coolest things that happened last week is on the same day that Forrester came out with their new wave reports for B2B and B2C enterprise e-commerce and rated us so well. Another tax rating agency in Europe, Emerce out of the Netherlands, also rated us the best enterprise platform. So same day, two continents, best enterprise e-commerce platform reviews. And so we think we're positioned not just better than ever, but also getting that recognition and that should help propel us. I hop on a plane tomorrow for the Berlin e-commerce conference and can't wait to try to build the same kind of enthusiasm and morale in Germany that we're already seeing in Italy, France, U.K. and Spain and Netherlands.
Operator: Thank you. Our question comes from the line of Matt Pfau with William Blair. Your line is open.
Matt Pfau: Wanted to just follow up on your B2B efforts. So clearly, you've made a lot of investments there from a product perspective. Maybe just give us an update on what you need to do on a go-to-market front there. What investments are you making? And is this an area where the Commerce-as-a-Service strategy can help out?
Brent Bellm: Commerce-as-a-Service can help out. Imagine -- I mean as an example, trade associations, industry associations, applications purpose built for a specific industry like automotive or a certain manufacturing vertical, an ERP serving a specific industrial vertical, those are all potential areas where either a trade/marketing partner or a technology partner could do Commerce-as-a-Service, though so far, for the most part, our Commerce-as-a-Service sales have gone to companies that serve B2C sellers. So there is potential there. And I'm excited to begin exploring that. In addition, on the go-to-market for B2B, I think the most important thing is simply starting with the recognition in the various tech analysts who evaluate B2B platforms because there's no more scaled way than when experts and authorities evaluate under the hood the various platforms, and we get great ratings. So, we have great ratings from obviously now Forrester in last week's report. We had great ratings from Paradigm last year. They're updating their report right now. And we've had several others that do that. It's also interesting, if you go into trust, TrustRadius or G2 Crowd. I think its G2 Crowd. If you were to do -- click their little boxes and get their grid report on the combination of most popular and highest reviewed B2B platform, we're way up into the right, and nobody is anywhere close to us. It's mostly B2B and sort of mid-market -- sorry, small business and mid-market, lower end merchants who are filling out those G2 reports. But that's the wisdom of the Crowd saying that we're the best in that application, too. So, whether it's enterprise or small business, that speaks volume and it's a much more scaled way to get the great word out about our capabilities that are trying to market and reach every prospective buyer. Agencies also, a lot of these B2B sellers will rely on an agency to help them get started or to replatform their e-commerce, and the agencies really look to these reports, too, to figure out where to bet their money, which have great value out of the box, and I think that's going to help us grow share significantly over time. Thanks for the plan.
Operator: Thank you. Our next question comes from the line of Keith Weiss with Morgan Stanley. Your line is open.
Keith Weiss: Very nice quarter. I hate to beat a dead horse on sort of the macro side of the equation, but it is kind of what we've been getting beaten with by investors over the past months in terms of understanding that macro side of the equation. It looks like the enterprise business is holding in really well. If I look at sort of the inverse of that 89% of ARR, that enterprise, the retail side of the equation -- and correct me if my math is wrong. It looks like that ARR was down a little bit sequentially in the quarter. Is that the kind of the macro impacts that you guys are talking about? And would we see more of that on a go-forward basis? Or do you think that's stabilized? How should we think about that side of the equation?
Robert Alvarez: Yes. So on the enterprise ARR front, I mean, we had a great quarter in terms of the sequential increase. We had some higher end retail plans that actually upgraded to enterprise plans in the quarter in Q1. Where we see some of the kind of macro factors affecting SMBs, especially would be on the standard and plus plan. So those are the accounts less than 2,000. But remember, I mean, our enterprise business -- I mean 80% plus of our GMV is coming from our enterprise accounts. When we look at our net new bookings all of last year, 80% of our net new bookings came from enterprise for 2021. And the way we recognize revenue, too, I mean, we're a majority subscription, right? So where we get impacted by kind of order-based or GMV-based impacts is really kind of on the upgrade side or pricing side. And so, we're -- with our focus on enterprise, with our focus on gross new subscriptions, we don't see the impact of that as much. We do see it in upgrades that we talked about. But definitely, in our standard and plus plans, you'll see some of that. And some of those retention dynamics are quite different on those plans versus the really, really strong retention profiles that we see in our enterprise merchants.
Operator: Thank you. Our next question comes from the line of Brian Peterson with Raymond James. Your line is open.
Brian Peterson: So I just want to follow on that question on B2B. I'm curious, what do you view as the gating factor on growth for B2B? There's a lot of functionality that you've added. So I'm curious, is there a market awareness component or some of these businesses may not know what they can get from a B2B perspective. And if we kind of put a longer-term lens on, is there a period or is there a functionality where that really starts to inflect? I'm curious to get your thoughts there.
Brent Bellm: Well, I think, one, there are some limiting factors. One is that B2B sellers are less homogeneous than B2C sellers. It's a very different thing if you're talking to a supplier of raw materials or intermediate goods versus a final producer. Are you selling to wholesale? Or are you selling to industrial accounts? These are very different use cases. And no one platform is going to serve every single use case. And what we do is we bring all of the great user experiences and functionality originally built for B2C, plus the most common functionality for B2B like account hierarchies and approval processes, invoicing, et cetera, quoting. That gets added into our functionality. And so it's a subset of the B2B market where that will be most appealing. But I would say if you look at history from Magento's evolution -- Magento like us also started as a B2C platform. And it was around about 2013, 2014, when they saw increasing numbers of B2B sellers using them in conjunction with apps in their apps marketplace. And the very short period of time where they went from not even focused on B2B the number one and B2B in the world because they were solving that generalized use case. Of course, the flaw for a lot of businesses with Magento is its owned licensed software that you have to manage and secure yourself. And with BigCommerce now, we're following that same path and in a SaaS model. And we really do hope that given the appeal of SaaS, especially to B2B business. So that same part of the market that Magento did so well in going forward, BigCommerce can, too. Magento didn't market their way to number one share. It's not like they were sending fortunes on marketing, had some gargantuan sales staff all around the world. They were relying on the proposition and capabilities of their software, combined with their apps and extensions marketplace, just like we are, and especially agencies who assist these companies in making their choices, and we will also rely on agencies and developers around the world to help us get the word out scalably.
Operator: Thank you. Our next question comes from the line of Suni Rajagopal with Berenberg Capital. Your line is open.
Suni Rajagopal: Just have maybe one question on the partner and services revenue. It looks like it is pretty much flat versus the last quarter. Can you just lay out a bit of dynamics? What is going on there? And how should we be thinking about that line going forward?
Robert Alvarez: Yes. Thanks for the question. Yes. Usually, what we see with PSR is Q1 would be sequentially down from Q4, normalized, because Q4 is our holiday season. The last couple of years have been quite different. So Q1 of 2020, we had the impact of the increased volumes with COVID. Q1 of 2021, we had the impact of the U.S. stimulus checks going out, which elevated PSR levels in that quarter. And so, I think what we're seeing is just kind of a more normalized view of PSR post-pandemic and without the impact of the stimulus checks. So I think this is kind of what you would expect and what we saw kind of pre-IPO and pre-pandemic.
Operator: Thank you. Our next question comes from the line of Mark Murphy with JPMorgan. Your line is open.
Unidentified Analyst: Thanks for squeezing us in. This is [indiscernible] sitting in for Mark. R.A., just one quick question on Feedonomics. Obviously, it seems like you're not giving us the contribution, but there is no reason to think that the ARR for Feedonomics should be down sequentially, right? It sounds like it's doing really good. So, it should be up sequentially, but am I seeing that correctly?
Robert Alvarez: Yes. I would think about it up slightly. I think Feedonomics for Q1 grew nicely, up slightly. So, yes, nothing unusual to report there. Operator?
Operator: I'm now showing no further questions in the queue. I would like to turn the call back over to Mr. Brent Bellm, President, CEO and Chairman, for closing remarks.
Brent Bellm: Well, I just want to thank everybody for dialing in and the questions. And we look forward very much to seeing as many of you as possible when we have our first ever Analyst Day, which I believe is scheduled for May 25 with the possibility of in-person attendance here in Austin. So, it will be a great chance for us to talk more about all the major things that we are doing and get your questions and feedback at that time. Until then, we wish you the very best. Thanks.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may disconnect.